Operator: Ladies and gentlemen, good morning, and welcome to the Teradyne Fourth Quarter and Full Year 2025 Earnings Conference Call [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the call over to Amy McAndrews, Vice President of Corporate Relations for Teradyne. Please go ahead.
Amy McAndrews: Thank you, operator. Good morning, everyone, and welcome to our discussion of Teradyne's most recent financial results. I'm joined this morning by our CEO, Greg Smith; and our CFO, Michelle Turner. Following our opening remarks, we'll provide details of our performance for the fourth quarter and full year of 2025, our outlook for the first quarter of 2026 and our new target earnings model. The press release containing our fourth quarter results was issued last evening. We are providing slides as well as a copy of this earnings script on the Teradyne investor website that may be helpful in following the discussion. Replays of this call will be available via the same page after the call ends. The matter that we discuss today will include forward-looking statements that involve risks that could cause Teradyne's results to differ materially from management's current expectations. We caution listeners not to place undue reliance on any forward-looking statements included in this presentation. We encourage you to review the safe harbor statement contained in the slides accompanying this presentation as well as the risk factors described in our annual report on Form 10-K for the fiscal year ended December 31, 2024, on file with the SEC. Additionally, these forward-looking statements are made only as of today. During today's call, we will refer to non-GAAP financial measures. We have posted additional information concerning these non-GAAP financial measures, including reconciliation to the most directly comparable GAAP financial measures, where available on the Investor page of our website. Looking ahead between now and our next earnings call, Teradyne expects to participate in technology or industrial-focused investor conferences hosted by Citi, Susquehanna, Morgan Stanley and Cantor. Our quiet period will begin at the close of business on March 13, 2026. Following Greg and Michelle's comments this morning, we'll open up the call for questions. This call is scheduled for 1 hour. Greg?
Gregory Smith: Thanks, Amy, and thank you all for joining us today. I'll start off by summarizing our fourth quarter and full year 2025 results and provide some context for our initial view of 2026 and our new target earnings model. Teradyne had a strong fourth quarter with 41% sequential revenue growth and more than 100% non-GAAP earnings growth. Both revenue and EPS were above our high guidance as trends we noted previously continued through the end of the year. Semiconductor Test, Product Test and Robotics all delivered double-digit sequential growth. A striking trend was the increase in AI-driven revenue in the second half of 2025. This is obvious in compute and memory, however, the rapid build-out of cloud and edge AI is also driving demand for power management, SLT, HDD, ICT and optical test. This aligns with the themes of AI, verticalization and electrification that we have highlighted in prior calls. When you roll it up, AI demand drove 40% to 50% of our revenue in Q3. In Q4, AI drove more than 60% of our revenue. Looking forward to Q1 of 2026, we expect that upwards of 70% of our revenue will be driven by AI applications. Now Michelle will go into a lot more detail about the quarterly results and trends. I'd like to give you a little full year color for each of Teradyne's businesses. Starting first with the Product Test group. Overall, we grew revenue 8% in 2025, driven by strength in defense and aerospace. We have successfully integrated Quantifi Photonics into this group, including training the sales team for LitePoint and Production Board Test on the Quantifi product line. We expect all of our business lines in this group to grow in 2026. Turning now to Robotics. In 2025, we saw 3 consecutive quarters of growth starting in Q2. As we have discussed previously, we are optimistic about the value-creating opportunity in physical AI and advanced robotics, and our strategy has been to focus the organization on the segments, customers and technologies with the highest growth potential. For all of 2025, the Semiconductor Test Group delivered 19% year on year growth. SoC test revenue grew 23% year-over-year, driven mainly by networking and VIP compute. Memory test revenue was up slightly in a roughly flat memory test market on continued share gains in HBM and DRAM final test. With strong VIP revenue, we believe that we maintained about 50% market share in the VIP compute market in 2025. This entire segment remains very concentrated with only a few players driving significant ATE purchases. This contributed to revenue lumpiness in 2025 and complicates forecasting VIP share in the future. Our full year financial results reflect a successful pivot to AI-driven demand in high performance computing. Back in 2020 and 2021, our business was dominated by mobile. We were highly exposed to mobile in SoC, memory, and wireless test. Now in 2025, compute is the largest component of our revenue and grew 90% year-over-year. This growth can be attributed to the decisions and investments [ we've ] made over the past few years that are now yielding. Our historically strong networking business has been growing because of the high density of network connections in AI Data Centers and the increasing complexity of networking components. The work that we have done to align our product roadmap and customer facing teams to VIP and merchant computing customers has enabled us to capture valuable new design wins. While we are gaining in compute and memory, we believe that diverse revenue mix is Teradyne�'s long-term strength. Using round numbers, in 2023, only about 10% of our SoC product revenue was in compute, 50% was in auto/industrial and 40% was in mobile. Now in 2025, nearly 50% was in compute, and auto/industrial and mobile were roughly balanced at a 1/4 each. This balance derisks our target earnings model. The SoC TAM reached record levels in 2025, nearly 60% larger than 2024. Looking forward, we expect that TAM to grow robustly over the midterm driven by continued data center build out and the growth of Edge AI. Predicting this growth rate from year to year is going to be difficult because of the high concentration and less predictable product ramps. One big socket sliding across year boundaries could have a significant positive or negative effect on year-to-year growth. Although this uncertainty makes it challenging to predict the 2026 SoC TAM, we are expecting robust year-on-year TAM growth. At a segment level, we expect compute to grow significantly from a very high base driven by AI. We expect to see moderate recovery in auto/industrial, but we are uncertain about the mobile TAM. Although we are expecting to see a significant jump in device complexity, there are questions about unit volume, product mix and capital efficiency improvements. All in all, we believe that we are positioned to gain share in the single digits in SoC test in a significantly larger market. Now shifting gears to memory. In 2025, the overall memory TAM was down about 4% from 2024, and we are able to gain a little share. A bright spot in the test -- the memory test market was AI compute demand for both HBM and DRAM. Again, it is useful to take a longer-term look at the changes in memory test. Back in 2020 and 2021, the memory test market was split more or less evenly between FLASH and DRAM. In 2025, DRAM and HBM comprised nearly 90% of the memory TAM, a trend we expect to continue into 2026. Overall, we expect a resurgent memory market in 2026 with low double-digit TAM growth over 2025, driven by continued strength in HBM and DRAM, and we expect to continue our incremental share gains. Our IST business delivered over 50% growth from 2024 to 2025. Historically, IST has had very high segment and customer concentration. In 2024 and before, we served the HDD and mobile SLT markets, and our revenue was mostly driven by a large single customer in each segment. In 2025, this began to change. We won a new customer in mobile SLT in 2024, and that ramped strongly in 2025. Also in 2025, we entered compute SLT and won business from 2 customers in that segment. Finally, in late 2025, we received orders from a new customer in HDD, which will be ramping in 2026. All of this is setting us up for continued strong revenue growth from IST in 2026 and beyond. Michelle will be going over our target earnings model in some detail. I'd like to comment on the underlying drivers of that model. In looking at the future, we had to answer 2 questions. The first question is whether the markets we are in are poised for growth. In our mind, the answer to that is unequivocally true. Right now, the prime mover of the market is AI data center. Our product lines cover this market from beginning to end from testing compute devices to complete server trays all the way to robot-assisted operations in AI data centers. Looking beyond the AI data center, segments of the market where Teradyne has high share are poised for recovery. auto/industrial will have long-term growth tied to the transition to Edge AI, EVs and 800-volt data center power. Mobile is positioned for steep complexity increases as the compute power required to run inference on LLMs is crammed into phones. Physical AI is already expanding the applications of advanced robotics, and we believe that trend will continue to strengthen. The second question is whether we, Teradyne, are positioned to gain share in the markets where we play. Again, I think the evidence from 2025 is clear. We are. We have gained share in HBM and DRAM, we have maintained high share in networking, we have ramped significant new VIP sockets, we have a leadership position in silicon photonics device test, and we are in play for a share of merchant GPU. We have won new segments and customers in our IST group in both storage test and system-level test of compute devices. But Teradyne's exposure to the growing AI data center market extends beyond device test. Our Production Board Test business tests the server trays that devices go into. Our Quantifi Photonics instruments test silicon photonics from device to rack. In alignment with our strategy to go from wafer to data center, last Thursday, Teradyne announced an agreement with MultiLane to form a joint venture. MultiLane is a global leader in high-speed I/O and data center interconnect test solutions. This joint venture will be called MultiLane Test Products and is being formed to serve the growing AI data center demand. Upon the close of this transaction, which we expect in the first half of this year, we will be the majority owner of the JV and MultiLane will maintain a minority position. In Robotics, we have built a world-class platform for physical AI applications that is being applied in multiple industry verticals, and we have embedded AI capabilities into our AMR products. Most importantly, we have begun to ramp an important worldwide AI-driven application in e-commerce. So to sum up, Teradyne is positioned to deliver better than market growth in markets that are going to be growing robustly over the next few years. We foresee a future where the ATE TAM will be $12 billion to $14 billion, up from about $9 billion in 2025. In that market, our long-term model illustrates our expectation that Teradyne would deliver nearly 2x 2025's revenue and 2.5x the earnings per share. With that, I'll turn the call over to Michelle Turner, our Chief Financial Officer, and welcome her to her very first Teradyne earnings call. Michelle, over to you.
Michelle Turner: Thank you, Greg, and good morning, everyone. I'm thrilled to have joined the Teradyne team and look forward to the value-creating opportunities ahead. Today, I will cover our fourth quarter and full year 2025 financial results, then I will share our Q1 2026 outlook. And then finally, I will discuss our new target earnings model. Now on to Q4. Fourth quarter sales were $1.083 billion with non-GAAP EPS of $1.80, both above the high end of our guidance range. Fourth quarter sales were the highest revenue quarter of 2025 and our second highest quarter in history, only $3 million below our record during the mobile boom of 2021. Semi Test revenue was $883 million, fueled by AI compute and memory demand. Within Semi Test, SoC revenue was $647 million, up 47% quarter-on-quarter. And memory revenue was $206 million, up 61% quarter-on-quarter, marking a record sales quarter for our memory business. The Product Test Group at $110 million grew double digits sequentially and year-on-year, driven by strong defense and aerospace demand. Robotics revenue of $89 million grew for the third consecutive quarter and was up 19% from Q3. In Q4, greater than 5% of our Robotics revenue was driven by a large e-commerce customer. Moving on to bottom line. Non-GAAP gross margins were 57.2%, aligned with our guidance range, driven by Semi Test AI demand strength, offset primarily by lower product test group margins and robotics mix and an inventory write-down on legacy products. Non-GAAP operating expenses were $306 million, and the non-GAAP operating profit rate was 29% in the quarter. Non-GAAP operating profit dollars in the quarter roughly doubled to $314 million in comparison to both prior quarter and prior year. We generated $219 million in free cash flow and returned $204 million to our shareholders through share repurchases and dividends. Our tax rate for the quarter, excluding discrete items, was 10.6% and 10.3% on a non-GAAP and GAAP basis, respectively. Overall, fourth quarter results were strong across the portfolio. Now turning to full year results. Our revenue was $3.2 billion, up 13% from prior year. At the beginning of the year, our SoC revenue was equally divided across our major end markets of compute, mobility and auto and industrial. Exiting the year, fueled by strong AI-driven demand, compute is now the largest part of our SoC portfolio, eclipsing our historical stronghold of mobile. From an overall portfolio perspective, Semi Test now represents close to 80% of our enterprise sales, an increase from the low 70s over the last few years. From a customer perspective, I'd like to remind you about a characteristic of our business model. We typically have a specifying customer who chooses platforms and drives demand and a purchasing customer who actually places the order and receives the equipment. In different cases, the specifying and purchasing customers have more influence in the purchase decision. In 2025, we had 2 greater than 10% specifying customers and 1 greater than 10% purchasing customer. Gross margin for the year was 58.3%, OpEx was $1.2 billion and operating profit was 22%. Non-GAAP EPS was $3.96. We generated $450 million in free cash flow and returned $785 million or 174% of free cash flow to our shareholders through share repurchases and dividends. We ended 2025 with $448 million of cash and marketable securities. Our tax rate for the full year, excluding discrete items, was 12.8% and 12.6% on a non-GAAP and GAAP basis, respectively. Now to our outlook for Q1. Since our October call, we've continued to see demand across our group strengthen. Q1 sales are expected to be between $1.15 billion and $1.25 billion, which would be a new quarterly record, driven by all things AI. The midpoint of this revenue range is 11% growth from an already strong Q4 and 75% growth from the same period in 2025. Non-GAAP EPS is in the range of $1.89 to $2.25 on 158 million diluted shares. From a margin perspective, we expect first quarter gross margins to be in the range of 58.5% to 59.5%, up 180 basis points at the midpoint of the guidance quarter-over-quarter. OpEx is expected to increase 6% from Q4 and run at approximately 26% to 28% of first quarter sales. The non-GAAP operating profit rate at the midpoint of our first quarter guidance is 32%. With the strong start to the year, I want to take a minute to talk about our historical sales patterns and how this is a classic example of history is not necessarily indicative of the future. Many of you who have been following us for a while know historically, we've experienced what we call lumpy Q2 or Q3 revenue trends tied to mobile demand and product life cycles. From 2020 to 2024, we consistently delivered the majority of our sales in second and third quarter. 2025 broke this pattern. Q4 represented our largest quarter of the year. As our compute and memory portfolios continue to grow, our revenue will continue to be lumpy yet follow a less predictable pattern. While 2025 sales were 40% in the first half and 60% in the second half, based on what we know today, we expect 2026 sales to be in the inverse. Before I walk through our new target earnings model, a few comments on our recently announced MultiLane joint venture. As Greg mentioned, we expect to close the joint venture in Q2 '26. For your modeling purposes, the results of this business will be consolidated into the results of our Product Test Group, and our EPS will reflect our share of the results of this business. We will disclose the net income attributable to the noncontrolling interest as a new line item on our income statement. We expect this deal to be accretive in 2026 with a de minimis impact to EPS. Now moving on to our new target earnings model. Rather than anchoring our earnings model to a specific future year, as we've done historically, this year, we are framing it around what our P&L looks like at an ATE TAM of $12 billion to $14 billion, which we believe is achievable within this midterm. This approach better reflects the inherent lumpiness in both compute and memory demand where program timing and customer buying patterns can shift revenue across the quarter and year boundaries. So at an ATE TAM of $12 billion to $14 billion, our target model assumes roughly $6 billion of revenue. At this scale, we expect gross margins between 59% and 61%, a point higher at the high end versus our prior model. We anticipate OpEx of 27% to 29% of revenue, reflecting operating leverage and the benefits of scale. This results in an operating profit of 30% to 34% and non-GAAP EPS of $9.50 to $11. We expect this growth over the midterm to be proportional across each of our groups. From a Semi Test Group perspective, we expect to grow our revenue greater than the overall ATE market growth rate, reflecting our expectations of share gains. This growth is driven by continued strength in AI compute and memory as well as anticipated recovery in auto/industrial and mobile. Our mobile assumptions reflect recovery but not a return to the 2021 peak. We also expect growth in IST tied to wins in SLT for compute as well as HDD. From a Product Test Group perspective, we expect growth across the portfolio tied to compute, Defense, Photonics, high-speed Internet data and data centers. From a Robotics Group perspective, we expect growth tied to physical AI, expanding SAM, reducing implementation complexity and continued persistent labor shortages. Our strategic pivot towards large accounts, along with a sharper focus on E-commerce, Logistics, Semiconductor and Electronics verticals is expected to further support growth. This new target earnings model is reflective of our conviction in the growth potential of the ATE TAM driven by all things AI even at today's unprecedented levels. Moving from a date-driven earnings model to an evergreen one reflects this conviction while also recognizing a lack of precision in terms of which year this comes to fruition. Now turning to capital allocation. Our strategy remains consistent to maintain cash reserves that enable us to run the business and have dry powder for M&A. For reference, from 2015 to 2025, we returned over $5.4 billion to shareholders through share repurchases and dividends, which is roughly 100% of free cash flow. We will remain opportunistic around value-creating inorganic opportunities as well as share buybacks. So summing up, exiting 2025, we are encouraged by the strength of the business. Our overall company revenues grew 13% year-on-year, and our SoC and memory contributed 17% year-over-year, helping to achieve a 23% increase in our EPS to $3.96. We are making strategic investments to drive competitive advantages and gain market share in the Semi Test and Product Test Groups. We remain focused on large accounts and attractive verticals to drive sustainable growth in Robotics. We entered 2026 feeling good about the year ahead. With that, I'll turn the call back to the operator for questions. Operator?
Operator: [Operator Instructions] We will take our first question from C.J. Muse with Cantor Fitzgerald.
Christopher Muse: I guess wanted to focus near term and then a longer-term question. On the near term, can you kind of help us understand how to better think about calendar '26? I heard you talk about kind of the inverse of that 58%, 42% we saw in calendar '25. But curious how to think about perhaps the overall revenue growth rate or thinking about June so we can size it. Will you grow above the high end of kind of the revenue target range of 25%? Or any help would be great.
Michelle Turner: Thanks for the question. This is Michelle. So I'll give some color commentary. I know this is going to be of interest to everyone who's listening in. So a couple of things I would reference in terms of this year versus past year. One, we are entering the year with a healthy backlog. And so we're excited by that. That's a positive when you think about our positioning for 2026. So we have better fidelity than we did, say, the same period last year. And then the other thing I would highlight is we typically, for those that follow the Teradyne story, we talk about having like 13 weeks of demand kind of insights from a forecast perspective. I would say we have better insights this year to first half. And so that's a positive from an overall 2026 perspective. I do want to balance this, however, with kind of what I talked about in my opening remarks and really emphasize the lumpiness of this new sales pattern. So I want to caution us against kind of a linearity trend assumptions with the recognition that we could see things move between quarters and between years as we recognize some of these ordering patterns in this kind of new AI infrastructure build-out environment.
Gregory Smith: Yes. C.J., I'll add one thought here. This is Greg. The run rate that we have in Q1 is like we have a fair amount of strength in Q1. We don't have great visibility into the second half. So we're a little bit cautious that we don't want people to sort of take that and run with it for the full year. We expect that we're in kind of a 2-, 3-quarter surge that may lead to a shorter period of digestion afterwards.
Christopher Muse: Great. Very helpful. And then, Greg, longer-term question, implicit in your new target model is a vision for your share of [ AAT ] to grow from about 25% to 46%. So would love to hear kind of your high-level thoughts on what the key drivers are behind that.
Gregory Smith: So right now, in the -- our model, our sort of $12 billion to $14 billion TAM model with us at $6 billion, that actually is moderated from that 46% level just a little bit. And that reflects -- in that model, we expect that the compute TAM is going to continue to grow. We're going to be gaining share in the compute space, but we're coming from a much lower share position. So I think we are -- like thinking about it from a long-term model perspective, we expect to gain share in compute. We expect the mobile market to probably get to maybe 1.5x the size that it is now, and we maintain the share that we have. Auto and industrial, probably the same kind of proportional gain in terms of the TAM size, and we'd maintain and then in memory, it's going to have incremental growth through this midterm. And right now, we feel like -- if you look back a few years, there were multiple parts of the memory market where we were not even present. Now we feel like we are in most of the segments for most of the customers. And so we are in a position to sort of split the share and ride the trends in the markets. Does that help?
Operator: Our next question comes from Timothy Arcuri with UBS.
Timothy Arcuri: Greg, I wanted to come up the last question from a different angle. So if I take your new model, and it seems -- if I take what you've already said for Robotics, how much it will grow, and I grow systems test at a pretty good clip, product test at a good clip. It seems to me like the Semi Test share only gets back to the like high 30s, which is really only where it was from 2022 to 2025. So it doesn't really seem to imply that much share gain. I mean it does off of where it was in 2025 because it was sub-30%, but it doesn't seem to imply very much share from where it was in 2022 to 2024. So maybe you can provide a little more color, like is that calculation wrong? Is the Semi Test number assumed having share higher than that? Because it seems like it's not that much higher than it's been in the past few years.
Gregory Smith: I think the -- in order to get to the numbers that you have that you probably have slightly more aggressive growth expectations for the Robotics and the Product Test Group. So we're kind of thinking across this midterm that the proportion, sort of the 80-10-10 proportions are going to be roughly the same. And so -- and by my math, we are in the low 40s per share in ATE. And remember that like the IST stuff is in our revenue, but it's not in the ATE TAM. That's in a separate segment.
Timothy Arcuri: Yes. Okay. All right. And then can you break either your -- Michelle, can you break down the SoC TAM in 2025, the $7.2 billion. Can you break it down between compute, mobile, auto? And maybe also, you've talked before about how large the VIP TAM is within compute. Can you give us a sense of how big that was in 2025?
Gregory Smith: So in 2025, the TAM broke down roughly -- we think it's -- and this is subject to us sort of totaling up the final numbers, which will come in over the next couple of months from third-party sources. But our expectation was that compute was in the neighborhood of $5 billion for the year. Mobility in about $1 billion; auto industrial just under $1 billion and service was in the $700 million range. For memory, overall, we think that the TAM was just under $1.4 billion and $1.2 billion of that was DRAM. The rest was FLASH.
Timothy Arcuri: And Greg, of the compute portion, how much is VIP, sorry?
Gregory Smith: I think it's just over $600.
Operator: We will move next with Mehdi Hosseini with SIG.
Mehdi Hosseini: Just one additional follow-up on the SoC TAM. Greg, you highlighted market share of around 50% for custom ASICs back in 2025. How do you see that evolving, especially given the increased new products coming out? It is my expectation that the concentration is actually going to get broaden out and more custom ASIC coming out? And would that enable you to increase market share about 50%? And I have a follow-up.
Gregory Smith: Sure. So yes, so in 2025, we think share was roughly 50% of VIP compute. When you look into the future, we expect that, that share split is going to -- it's -- the thing about this space is that no share is safe. We are challenging for sockets that we don't have. We're being challenged for sockets that we do have. And that's true for stuff that is in high volume right now and programs that have yet to ramp. The thing that I'm a little bit cautious in terms of trying to size the TAM for ASIC programs that are not yet in volume because what tends to happen is that the hyperscalers will benchmark the performance of their own ASICs against what they can get commercially and they will only take their ASICs to full volume if they see an advantage in like tokens per watt or what other metric they are trying to focus on. So I think long term, it's likely that we'll be able to maintain 50%, but I am expecting that this is going to be a really noisy number, especially at the quarter-by-quarter level, but even yearly, depending on when different ramps happen, it's going to slosh the share around a fair amount.
Mehdi Hosseini: That's fair. And then for the entire team, as we look at your $6 billion near-term revenue target, given your revised ATE market, it was only 6, 9 months ago that we were contemplating if your revenues would increase above a couple of billion. And now there's a new target. And what I wanted to figure out what the question is, what is the sensitivity to that ATE and the $6 billion revenue target? Is that a baseline assumption? Is that a kind of average of awards than a best case scenario? And any thoughts around how you came up with the ATE and $6 billion revenue target will be very helpful.
Gregory Smith: So, I think the -- first, I'll say that it's a balanced number that there are potential balloons and anchors around our $6 billion. Probably the most important uncertainty is the speed at which the market grows. Like how long does it take to get to this kind of a TAM size? And I say that because like I've been in this business for a long time. And I've been in situations where we look into the future and we see like up and to the right kind of TAM forecasts and then external conditions change things. So I think it's one of the reasons that we wanted to look at an evergreen model is because we can't predict the external factors that are going to drive the TAM. So that's probably the biggest x factor in all of this. The next is our share in the ATE market. And that is really related to the compute space. We have -- we believe we're positioned to gain share in the compute space on an incremental basis that it will take time, but we think that we have a good product and good position with the customers in this space to be able to increase ourselves from a relatively low position. The next part of this and the thing that gives me a fair amount of confidence around our $6 billion number is the other stuff beyond the core ATE, the compute space, if you will. I think the mobile space, we are going to ride whatever the TAM does, and I think that TAM is going to recover on the basis of complexity. We are in a position to gain share in the industrial and automotive space because of the acquisition of the power group that we got from Infineon last year to cover the wideband gap power market. And our IST business has a much broader customer base to help drive healthy revenue growth through this midterm. And then we have this extra large customer in the robotics space on top of the core business that we think is a catalyst for growth there. So I think we have a balanced plan going out into the future, and I think that helps to derisk that number.
Operator: Our next question comes from Krish Sankar with TD Cowen.
Sreekrishnan Sankarnarayanan: Congrats on the great results and guidance. I know you can't get into specifics. I'm just kind of curious on the GPU test side, which is a growth opportunity for you. What is the realistic market share expectation for this year? And how high can that go over the next 3 years or so? And can that parlay into ASIC market share, too? And then I had a quick follow-up.
Gregory Smith: Okay. So let me give you sort of a quick update of where we are in this project. So we're making great project -- progress, and we expect to achieve production qualification. The call process for these things is very complex. It's very expensive and the exact date for a release to production is tough to pin down, but we're really confident of our success here. Once we achieve qualification, I believe we'll incrementally gain share for these devices over the course of a couple of years. I just want to be clear that our guidance for Q1 does not include any merchant GPU revenue. We see that as more of a factor in the second half of 2026. We believe it would be a material amount of revenue for us, but it would not be a heck of a lot of share inside of the account where we won. So single-digit kind of share numbers to start. And then over time, what we've seen in other situations where we have a competitive dual source situation is that we eventually get to a situation where the vendors are balanced between 30% and 70% share. And that is not saying that like our share top is 30%, but we'll take time to get up to that 30% and then we'll essentially be going head-to-head on a competitive basis around who gets how much.
Sreekrishnan Sankarnarayanan: Got it. Very helpful. And then just a quick follow-up. I understand you don't want to give a full year outlook and first half weighted for this year. Is it because of conservatism? I'm just curious because given that mobile is less, I would expect no seasonality anymore. So I'm just curious why do you think it's still first half weighted besides visibility and conservatism?
Gregory Smith: So I'll give Michelle a chance to comment. I would say that part of it is because major programs that we're a part of are first half loaded. And so the demand that we can map for the full year is definitely more concentrated in the first half than the second half. But there's also an element of we don't know about the second half that there are a lot of irons in the fire that could result in second half growth, but we can't pin that down enough to sort of give a confident forecast for where the full year will be. I don't know, Michelle, do you want to add anything on there?
Michelle Turner: No, I think you summed it up well, Greg. I think the only other thing I would add is in comparison to previous years, coming into '26, we have really strong backlog, which is giving us better fidelity and insights into the first half.
Operator: Our next question comes from Jim Schneider with Goldman Sachs.
James Schneider: Just a bit of a clarification, if I could. And I may have missed it, so I apologize. But if you -- as we think about 2026, can you maybe help give us a sense, given everything you said about the first half and 2 quarter visibility and the potential unknowns in the back half, maybe give us any sense about how we should be thinking about the Q2 relative to Q1 rough numbers? I mean, is flattish something we should expect as a reasonable jumping off point on a sequential basis? And/or can you help us on where you think roughly, even if it's a large range, we could land in terms of the ATE TAM in 2026?
Michelle Turner: Yes. So from a Q2 perspective, we're not going to give a second quarter guide. I'm just going to go back to -- we have better visibility within the first half, and I would expect '26 to be the inverse of 2025 with roughly 60% of our sales in the first half. We'll give you an update when we get into Q2. Thank you.
Gregory Smith: So on the ATE TAM for 2026, what we talked about in our prepared remarks was robust growth from 2025. And the reason that we're using adjectives versus numbers is that it comes down to a really wide range essentially based on the uncertainty in the second half. So like if you wanted to put a big wide range around it, it would be like 20% to 40% growth for the year, but we don't know where in that range it would land.
James Schneider: Understood. That is helpful. And then maybe just as a follow-up, it was referred to before, and I think you've talked about, I think, to paraphrase, many ways to get to the target model, assuming that not everything happens perfectly, even if the endpoint is uncertain. But as you think about that model, is that what you think could be a mid-cycle model in a couple of 3 years' time, whereas that would kind of incorporate a lot of cyclical ups and downs once we get past this kind of period of very explosive growth?
Gregory Smith: Yes. So the -- when we were doing a model that was like fixed to a particular year, we always had all of these caveats around sort of we're trying to average out the cycle, looking at long-term growth trends and all of that was, in the end, not particularly helpful. So what we decided to do was to give people an idea of sort of what Teradyne would look like at $6 billion. And at $6 billion, we think that we need an ATE TAM between $12 billion and $14 billion to be at that kind of a revenue level. And then the rest of the business model sort of drops down from there in terms of our expectations of the investments we need to make and the kind of margin we'll get. So I do believe that the model is achievable over the next few years. But whether it's at the -- whether you interpret a few as a small number or a few as a larger number really depends on how quickly the ATE TAM grows, and that has to do with whether the current pace of data center build-out continues, but kind of at this rate. So the numbers that are out in terms of how much silicon is going into data centers are kind of mind-boggling. It's from '24 to '25, it's like 60% more silicon revenue in data centers. Looking out to 2026, it's way more than 100% year-on-year growth. So whether that can persist from '26 to '27 or if it moderates, that's the thing that's going to determine how fast it takes to get to that $6 billion.
Operator: We will move next with Brian Chin with Stifel.
Brian Chin: Maybe to start with, Greg, I was wondering if you could outline maybe a few catalysts for GPU share gain over the next few years in terms of Teradyne's platform differentiation, higher device power and complexity and maybe the addition of new test insertions.
Gregory Smith: Yes. So the addition of new test insertions, I think, is a catalyst for TAM growth more than a catalyst for share growth. So as these new insertions come in, we will have an opportunity to compete for them. And the same thing is as the merchant GPU market has more specialized chiplets per device, I think there's more shots on goal, more higher quality requirements for the test at the chiplet level. So there's a bunch of things that I think are accelerating the compute TAM. Now in terms of compute share, there are a number of things that I think our customers like about our product. The first and most obvious is that they believe that we have a more resilient supply chain that we're able to respond to demand with generally shorter lead times. And that's an important thing when their demands are somewhat unpredictable. The second is that it's actually a better tester. We have very good reliability in production circumstances. We have good uptime. The OSATs like it a lot. So they are helping to advocate for that as a choice. And we also have a next generation of instruments that is in beta test now, which will significantly increase the amount of power available to the devices and very importantly, the amount of memory for the test programs and the test patterns that these devices are going to need. The last is that I think our tester has better capabilities to allow these devices to be tested in the same way that they're used in the server in a mission mode. And that requires a pretty sophisticated, almost like building a server into the tester itself. So I think we have some advantages that allow us to achieve higher coverage, essentially moving defect detection as far to the left as possible.
Brian Chin: Great. That's really helpful. And then I think in the prepared remarks, you mentioned a new HDD customer. Is that an example of your test platform outperforming their internal tester? I guess, how much growth do you expect from HDD test in '26 and off of what revenue base in '25? And then kind of last part of that, more broadly, are there other historical instances of semiconductor logic and DRAM IDMs using captive test platforms? And are we at the point there where complexity in semi test really compels those companies also to use external platforms?
Gregory Smith: Yes. So in HDD, you're right that this is a case of commercial test replacing in-house test or I actually think that the right way to think about it is complementing internal test. I don't think that this is like a complete flip as much as a way for a customer to effectively build capacity. So -- but we're really excited about the change because we've been working to try and achieve it for a number of years. From a revenue perspective, we don't break out the HDD versus other revenue inside of the IST Group. But I will tell you that like our HDD revenue is going to like double between 2025 and 2026. Now -- sorry, you had a part B to your question, which is other captive in the rest of the semiconductor ATE space. So right now, there are -- really, there's one big player in SoC and there's one big player in memory that have captive ATE strategies. I think the -- like long term, I think the memory one is probably more persistent. The SoC one, I think, is probably going to change over the next couple of years as there are a broader range of customers for foundry that want commercial platforms.
Operator: We will move next with Samik Chatterjee with JPMorgan.
Samik Chatterjee: Greg, maybe if I can just change gears here and ask you about the mobile SoC TAM. And in your prepared remarks, I think you did say you're expecting it to be about 1.5x the current TAM in your target model. I mean is that sort of all driven by the complexity? Or are you thinking about some sort of volume tailwinds as well? And then you did mention near term, there being sort of a capital efficiency of customers that may be making you a bit more cautious. If you can explain that like what you're seeing on that front, that will be helpful. I have a quick follow-up.
Gregory Smith: Sure. So yes, the thing that we want to try and emphasize is that in like a $12 billion to $14 billion TAM model, we are not expecting the mobile TAM to get back to prior peak that is like a half decent guess is somewhere like halfway between where it is now and the prior peak. So -- and you're asking in terms of like what would drive that. I think that it is primarily around complexity that not units that smartphone units have been sort of hovering in a relatively narrow range. There's a potential that if there's a compelling new form factor or really compelling AI-based features that it would drive a higher refresh rate, but that certainly hasn't been the case for the last 4 or 5 years. So we're modeling kind of relatively consistent unit volume, but increased complexity across the broad product line. Now the reason that we are cautious about that, I think like we're pretty certain that there's going to be a lot of complexity growth and more complexity means more testers are required. However, there is a really large fleet of testers that are installed for mobile, and there are a lot of different parts across a number of different vendors that can use very similar tester configurations. And so by carefully arranging the use of that fleet, they can optimize the utilization on a year-round basis, and it can help to moderate the amount of additional capacity that they need to add. In the old days, like back in 2020, 2021, there was a smaller installed base and there were fewer SKUs that were being tested, more of them were being introduced and ramped very quickly. That was the kind of thing that really piled up the demand to drive much higher TAMs.
Samik Chatterjee: Okay. And maybe just for my follow-up, going back to the AI compute side. I mean you did mention that the VIP ASICs sort of was not launched already in production as the volumes are a bit tough to quantify at this point. But in terms of broadening of the customer base, given it's a very concentrated sort of purchasing from a few customers right now, as you look out to the medium term, particularly in terms of your target earnings model, do you see a broadening out of the customer base? Does that sort of reduce when you get to that target model, does that reduce the lumpiness in that kind of business just given higher visibility from a broader set of customers?
Gregory Smith: Yes. So in a $12 billion to $14 billion TAM, our expectation is that we would add additional logos in terms of VIP compute wins. But it's not like it's going to go from a very small number to dozens. It's more like 4 or 5 different programs. And what I expect to see the steady state in this market is that Teradyne and Advantest are going to be competing on a generational basis for new design wins. And those decisions are going to be made on the basis of the features of the tester, the reliability of the tester more than sort of incumbency as the thing that drives the selection.
Operator: Our next question comes from David Duley with Steelhead.
David Duley: I guess the first one is, I think you mentioned 3 10% customers. Could you talk about which segments they might be in or how large they might be? I know you probably don't want to give us the names, but if you could give us the names, that would be great as well.
Gregory Smith: So in the 3 10% customers, as Michelle said, 2 of them were specifiers, One was a purchasing customer. The specifying customers, one was in the mobile space, one was in the compute space. And the purchasing customer does it all.
David Duley: Okay. And relative size of how much above 10%? I guess I'm just trying to figure out customer concentration.
Michelle Turner: Roughly 10%. It's not substantially higher than that.
David Duley: So each one around 10%, is that what you just said, I'm sorry?
Michelle Turner: Yes. Yes.
David Duley: Okay. All right. Final question, I guess, is, Greg, I think you kind of mentioned when you look at all the pieces for 2026, the overall TAM growth, I guess, is going to be around 30%. I'm guessing that the SoC TAM grows faster than that and the memory TAM grows slower than that in 2026. If you could just comment on roughly the growth in each piece. And then if you said you're going to gain share in 2026, and that means, obviously, you're going to grow faster than 30%. Is that a fair assumption?
Gregory Smith: So no. The -- yes. The -- like in a range between 20% and 40%, you may arithmetically put that at the mean of 30%. We are not trying to communicate that at all. We are trying to communicate that we have -- we don't have sufficient visibility into the second half to give a good TAM estimate for 2026. Your assumption around SoC growing faster and memory going slower, I think, is fair. I think that we are expecting that kind of a market where the compute TAM is already big, and it's going to grow a lot. The memory TAM is going to grow more incrementally. The -- we believe that we are positioned for share gain, and that really depends to a certain extent around whether -- like which segments of the TAM grow the most. So even if we gain share in compute, since our share position in compute is relatively lower, if the compute TAM grows a ton, then that could be dilutive to our overall share position, even though we're getting better in every segment that we serve. So that's the reason that I want to be cautious about that.
Operator: And we have time for one more question. We will move next with Vedvati Shrotre with Evercore.
Vedvati Shrotre: So one clarification I had is, so the GPU win -- the GPU merchant win, does that in any way dictate your second half versus first half dynamics? And then even in the new target model, are you assuming contributions from GPU wins?
Gregory Smith: So yes, a significant ramp associated with merchant GPU would have an impact in the second half. I'm not sure I caught the second part of your question.
Vedvati Shrotre: Is that a part of your new target model as well?
Gregory Smith: Yes, yes. So -- and it's -- but the thing I want to emphasize is -- as I said, the merchant -- like share in merchant GPU is going to be an incremental gain over years. And so it is a part of that $6 billion model, but we don't assume a radically high share in the merchant GPU space.
Vedvati Shrotre: Understood. And then the second question I had was on the Robotics, you have the large e-commerce program starting to ramp. So does that mean that you -- is there a possibility that your revenues grow like the robotics piece grows to higher than the breakeven revenues that you have for that business?
Gregory Smith: Yes. So we're aiming at breakeven for Robotics this year. And we expect -- so just in terms of the large e-commerce customer, we think that, that revenue is kind of going to triple-ish between 2025 and 2026 and then grow substantially post '26 as the deployments go to a larger number of facilities. So that's a pretty good tailwind. And it -- so I think we're looking to have that business at breakeven in '26 and then contributing positively beyond.
Operator: And this concludes our Q&A session as well as the Teradyne Fourth Quarter and Full Year 2025 Earnings Call and Webcast. You may disconnect your line at this time. Have a wonderful day.